Carrie Gillard: Good morning, and thank you for joining Shopify's Second Quarter 2025 Conference Call. I'm Carrie Gillard, Director of Investor Relations. And joining us today are Harley Finkelstein, Shopify's President and Jeff Hoffmeister, our CFO. After their prepared remarks, we will open it up for your questions. We will make forward-looking statements on our call today that are based on assumptions and therefore, subject to risks and uncertainties that could cause actual results to differ materially from those projected. Undue reliance should not be placed on these forward-looking statements. We undertake no obligation to update or revise these statements, except as required by law. You can read about these assumptions, risks and uncertainties in our press release this morning as well as in our filings with U.S. and Canadian regulators. We also speak to adjusted financial measures, which are non-GAAP and not a substitute for GAAP financial measures. Reconciliations between the 2 are provided in our press release. And finally, we report in U.S. dollars, so all amounts discussed today are in U.S. dollars unless otherwise indicated. With that, I will turn the call over to Harley.
Harley Finkelstein: Thanks, Carrie, and good morning, everyone. Now before we get into the numbers, I want to do something a little bit different today. I want to start by looking back at Shopify's last few earnings calls. 18 months ago, I said that we would power up our offline and our B2B on-ramps, creating a truly unified commerce platform. Well, fast forward to today, our offline GMV is up 29% year-over- year. Our B2B GMV is up 101%, and we're bringing the biggest brands on the planet to the platform through our unified commerce offering. 12 months ago, I said we would continue to deliver both growth and profitability. And this past quarter, we delivered $2.7 billion of revenue, up 31% year-over-year, and our free cash flow margin was 16%. And finally, 6 months ago, we committed to expanding our reach across all geographies and particularly in Europe. Well, our international GMV for this most recent quarter was up 42% year-over-year, accelerating from Q1, driven largely by outperformance in Europe. Now the strong results you see today come from seeds we planted years ago. Past investments are now paying off and the ones we are making today will drive results for years to come. So if you take one thing away from this call, let it be this. Shopify delivers. We do what we say we're going to do. That consistency follow-through and durable growth, that is Shopify's demo. Now I want to call this out at the top of this call because we've had a lot of wins this quarter, which we'll get into next. But this quarter-to-quarter consistency is really what matters. This is how generational companies are built, and this is what you're seeing from Shopify. Okay. Now let's get into the wins and the progress we made in Q2 specifically. As I mentioned earlier, we delivered Q2 revenue of $2.7 billion, up 31% year-over-year, and free cash flow margin was 16%. GMV was up 31%, accelerating from Q1. And this strong GMV result was driven by continued outperformance in Europe as well as momentum in our largest market, the U.S. This is the outcome of a clear strategy executed really well. Agility and ease of use are now prerequisites for any modern commerce company, and that's why we've become a strategic advantage to all businesses in today's unpredictable market. In this quarter, we signed up some iconic global brands, including Starbucks, Canada Goose and Burton Snowboards. And I love getting to speak to this diversity of brands choosing Shopify because it really reflects the flexibility of the platform. The world's biggest coffee chain, the biggest name in luxury outerwear and the most iconic brand snowboarding, they're all migrating to Shopify because we give them agility, innovation, speed and exceptional value. Now speaking of innovation, let's talk about product. Shopify's superpower is that we always are at the center of where commerce is happening. We've consistently proven to be experts in anticipating where consumers will be showing up next and building accordingly. That means our merchants are better prepared to stay a step ahead. Now I'll give you a few examples. We were ahead of the curve with social commerce, building early integrations for Instagram and YouTube. We saw the opportunity for commerce to meet culture, so we built a Spotify integration. And more recently, we predicted the rise of shopping in the metaverse with a Roblox integration that's already growing quickly. So of course, Shopify has been building infrastructure to power agentic commerce. As AI platforms become the new way people discover products, consumers are not just searching, they're having conversations with agents to find what they need, but powering seamless shopping across millions of brands is a massive technical challenge. And that's where Shopify comes in. We've built a suite of products that make it easy for AI platforms to bring shopping to their agents from discovery to checkout, and our merchants are front and center. Now let's start with discovery. We launched catalog in Q2 to give AI partners and shopping apps real- time access to millions of products from across our global merchant network, all through a single connection available as an API or an MCP server. Shopify catalog simplifies the process for apps and AI agents to search and pull product data so the results are clear, accurate and up to date. Shopify is uniquely positioned to build this because the brands consumers love and want more of are all on Shopify. And every day, more of the world's favorite brands are joining, making our catalog the richest and the most dynamic anywhere. Now let's also talk about Universal Cart, which literally launched yesterday in early access. Universal Cart holds items from multiple stores all in one spot so that shoppers can easily track all their items they want to buy within the chat. And when it comes time to purchase, we've built a new and improved version Checkout Kit, and it's already being used by Microsoft Copilot, a huge player in the AI space. Checkout Kit lets partners embed the merchant's checkout right in their agent. Now we're also giving partners the power to theme the Checkout Kit, so it matches their applications look and feel, creating this seamless experience and they don't have to worry about payments, taxes or regulations. We take care of all the complexity for them. Let me bring this to life for you. When a shopper asks an agent for the best travel bag, it instantly searches Shopify's catalog and shows the top products, live prices, descriptions and inventory. The shopper adds their choice to the cart. They don't have to check out right away. They can keep shopping. Everything they want is pulled into a single cart. And when they're ready, the shopper completes their checkout without ever having to leave the chat. Now this unlocks a whole new kind of commerce. For partners, we've made it easier than ever to integrate commerce without having to build the hard parts. For our merchants, we're making sure they stay at the forefront of wherever commerce is happening. And for shoppers, we're powering conversation-driven product recommendations from all of their favorite brands. This is yet another example of how Shopify is always leading the way. Now let's talk about our most exciting AI product offering for our merchants, Sidekick. Sidekick's unique ability for data analysis continues to shine through, helping merchants address their toughest business challenges. For example, a merchant in the kids clothing category recently shared with me that Sidekick delivers the kind of actionable insights they used to spend hours searching for. Questions like how can I optimize my inventory to avoid sellouts and boost cash flow? Or why am I seeing more customer churn from subscriptions in the last 3 months? Or even help me compare results from our last 3 BFCM campaigns and suggest improvements for the next one. They are all answered, explained and visualized in seconds. So instead of wrestling with spreadsheets or digging through endless tabs, merchants on Shopify get instant clarity of what's working, what's not working and where to focus next, all without having to leave Shopify. Here's another example. A skin care merchant recently told us that in real time, Sidekick helped them pinpoint exactly where they were experiencing customer churn down to the cohort, city and even purchase behavior in seconds. Insights like these used to take hours or days to uncover if they were found at all. Sidekick is doing exactly what we set out for it to do. Merchants are leaning in and leveraging the power of Sidekick for data analysis and performance insights, freeing them up to focus on strategic business decisions and helping them make sure those decisions are right for their business. And of course, as I've talked about on previous calls, that's on top of all the other ways Sidekick helps merchants like writing product descriptions, generating logos and images, streamlining workflows and customizing their storefronts and so much more. And this quarter, we also launched an AI store builder that can create a custom online store in seconds, literally in seconds from a single phrase. Now all you need is an idea and a description of the product you want to sell like stylish athleisure apparel for women, and Shopify will do the rest. We are continuing to make the barrier to entry lower than it's ever been in history, and we are not done. Okay. That was a lot on AI. As you can tell, we're really excited about the velocity of innovation happening at Shopify. Now let's turn our attention to payments. On our last call, we discussed the expansion of our payments product into more countries, 16 so far this year alone, nearly doubling the markets where it's accessible. Many of these new markets are in Europe and are already seeing solid adoption, contributing to our global payments penetration of 64% in Q2, up from 61% last year. At Shopify Editions in May, we also rolled out multi-entity support in Shopify Payments. Now this means that merchants can now sell from multiple business entities, all within a single shop, which is particularly valuable for our higher-volume global merchants. No more juggling separate stores for each country or channel. This streamlines operations, it cuts costs and it removes barriers to global growth. And I've heard directly from some of our biggest global brands that the multi-entity unlock is a breakthrough. And for those of you that have followed us for a while, you know that this was a pain point we had not yet solved until now. Now as you know, we are laser-focused on building the future of commerce, especially as cross-border transactions become more important. This quarter, we introduced a new USDC stablecoin option, giving merchants and buyers more choice and security, especially for international payments. We partner with Coinbase to bring the core features of commerce like authorized capture, void and refunds to crypto payments. So in plain terms, these are the steps that make card payments safe and flexible. Now with smart contracts and blockchain, stablecoin payments can work the same way. And with a built-in off-ramp to local currency, merchants can accept USDC without dealing with new crypto friction. Payment preferences are changing fast, and Shopify is making sure our merchants are ready for what is next. Now a quick note on Shop Pay. Over the past 2.5 years, the user base has more than doubled as more buyers and merchants make it their go-to checkout. That momentum is showing up in the numbers. In fact, in Q2, Shop Pay GMV increased by 65% to $27 billion. Shop Pay is quickly becoming the standard for fast, secure, seamless payments, trusted by millions of consumers and merchants, including leading brands like Michael Kors, the latest sign up for Shop Pay Commerce component. Honestly, most of you listening have probably used Shop Pay at least once in this past week alone. That is how deep the reach is. Now let's turn to the Shop App, the all-in-one shopping destination for the brands that buyers are passionate about. The Shop App saw 140% year-over-year growth in native GMV, fueled by high-impact shopping events, including Shop Week, where sales more than doubled compared to last year's event. And sign-ins through Shop increased by 46%, thanks to improved availability and a much smoother user experience. AI-powered enhancements to Shop search and the home feed ensure buyers see the right products at the right time, driving higher engagement and conversion. And unlike traditional marketplaces, Shop puts brands front and center, fostering genuine customer relationships without the burden of marketplace fees. With tools like Shop Minis, Shop Cash and Sign in with Shop, we're helping merchants engage, convert and retain buyers seamlessly from personalized recommendations and wish lists to in-app checkout and real-time order tracking and buyer rewards. And our collaborations with brands like Glossier, Summer Fridays and J Balvin are strengthening Shop's position in beauty and entertainment, pushing the boundaries of customer engagement. So mark my words, Shop is the future of direct-to-consumer shopping, and we're just getting started. Now let me speak briefly on advertising because I know you'll ask. Shopify campaigns is opening up new ways for merchants to reach buyers and grow. We are scaling risk-free advertising across Shop, online stores, Meta and Google, giving merchants efficient access to new audiences. And the early results are really promising. Brands like Caraway, Liquid I.V., Kizik are seeing real impact. And as we continue to unlock more inventory and refine our recommendation algorithms, campaigns are getting more personalized and more effective. And there is a ton of excitement at Shopify on what we are building and look forward to sharing more about this on future calls. Okay. Now let's shift our focus to some other key growth drivers and how we're executing. First up, Point of Sale or our offline business. Q2 was another strong quarter for Shopify Point of Sale with offline GMV up 29%. We launched a newly redesigned version of our POS app, making it faster and simpler for in-store staff and enhancing the connection between in-store and online. Retail staff are already benefiting from the new version with a more intuitive experience, faster checkouts and shorter training time. This new release of our retail platform includes a suite of features that merchants requested, things like cash rounding, more granular staff permissions, more ways to build card customizations and store credit for instant customer retention. Direct API access now allows our developers and partners to customize Shopify Point of Sale workflows more efficiently. And it's these continuous enhancements that are further solidifying Shopify's reputation as a leader in Retail Point of Sale software. Shopify Point of Sale was named as a leader in Retail Point of Sale software by IDC and new EY report shows it's driving real revenue growth for merchants. And the results speak for themselves. Our investments are paying off and merchants on Shopify are reaping the benefits. Q2 saw more great brands joined Shopify in part for offline offering from swimwear to furniture, to car accessories. And I said at the start, a special newly inked deal that's very close to my heart, the iconic Canadian brand Canada Goose is making the switch. On a personal note, I've been in talks with the CEO, Dani, for a long time. And incredibly, the deal actually closed on Canada Day this year, which made it feel extra special. After years of building and refining our unified commerce platform, they have chosen to move to Shopify to power both their online business and about 50 physical stores beginning in 2026. This win is a clear signal the leading brands trust Shopify to deliver what modern commerce demands. The progress in retail is evident, and we are confident that we are still in the early stages of what we will achieve. Moving on to international. We keep talking about our international business because the opportunity is so massive, and our team and merchants are knocking it out of the park. Our international regions are contributing more to our growth each quarter, becoming a vital part of Shopify's mission to support entrepreneurs worldwide. In Q2, Europe led the way with strong GMV growth from both new merchants joining the platform as well as our existing merchants continuing to outperform their respective e-commerce markets. You have heard us talk about getting more of our products into more countries. And so far in 2025, we have made really great progress. Shopify Capital is now available in Germany and the Netherlands, providing more merchants with access to growth funding. We also launched Shop Pay Installments into Canada, allowing more merchants to offer flexible payment options, which contributed to the strong 38% increase we saw in Q2 for our Shop Pay Installment GMV. At the core of our growth is our commitment to enabling merchants to sell seamlessly across borders, shown by Q2 cross-border GMV at 15% of total GMV while also winning at home. With recent rollouts like multi-entity support and multicurrency payout, we are making this a reality. These features are now available for Plus and Enterprise merchants in most countries where Shopify Payments operate. This is big because by simplifying operations to one single shop, they avoid extra fees and the need for duplicate apps or integrations. And that's why organizations like Fiskars Group, one of Europe's oldest companies and the owner of brands like Wedgwood and Waterford, recently chose Shopify to migrate 5 of their distinct e-commerce businesses from multiple brands into a single one on Shopify. It is a clear signal that Shopify is the platform for global growth. We got here in a very intentional and thoughtful way. The wins we see today are a direct result of the groundwork we've laid in international expansion, especially in Europe from product development to marketing over the past few years. Our aim is to keep this momentum going and unlock even more growth opportunities in the years ahead. Okay. Now on to one of my favorite parts of the call. You all know that I love talking about winning larger merchants. Our upmarket strategy is continuing to deliver results. On top of the brands I mentioned earlier, Starbucks, Burton and Canada Goose, we also signed brands like luxury skincare company owned by Unilever; Tata; the high-end home appliance manufacturer, Miele; Amazon's Daily Deal site, Woot; the leading fitness and nutrition brand, Beachbody and one of the world's largest diamond retailers, Signet Jewelers. Now there's another brand I want to highlight and not because you'll know them, but actually because you probably don't know them. We just signed on the global leader in mining/drilling services, Boart Longyear. Now a few years ago, we wouldn't have imagined talking about drilling services and Shopify in the same breadth, but that's how far we've come. Our roster keeps getting stronger, winning the brands people love across every major vertical and bringing on more names from industries you might not expect. Amongst these are the biggest brands you've ever heard of. They're not household names to consumers, but they dominate their verticals, and they're choosing Shopify for our scalability, for our speed, flexibility and the tools they need to grow. And this diversity makes us even more resilient and fuels our growth, expanding our addressable market and the ways we power commerce. No matter how the market shifts, Shopify is built to thrive. We're expanding our reach, we're deepening our offerings, and we're laying the groundwork for long-term success from entrepreneur to enterprise. When you look at our Q2 results and when you look at what we've achieved each quarter before, one thing should be clear, the Shopify playbook delivers. We've built a product that helps every kind of merchant in every market win. We built a business model that means when our merchants win, we do too. And we've built a road map that's focused on the future of commerce, so our merchants are always a step ahead. Shopify is executing consistently. We're building the right products consistently. We're growing in the right places consistently, and we're investing for the long term consistently. Our business model is durable. Our opportunity is vast, and our focus is unwavering. And with that, I'm going to turn the call over to Jeff for a deeper dive into the numbers and trends that we're seeing.
Jeff J. Hoffmeister: Thanks, Harley. Q2 was an exceptional quarter, and it represents a manifestation of the excellent product building, product market fit and go-to-market momentum that our teams set in motion many quarters ago. We're delivering in the areas that matter most for our long-term success. helping merchants grow and reach more buyers, expanding the diversity of our merchant base and innovating continuously to provide products that help merchants run and scale their businesses. A few items to highlight before we dive into the numbers. First, the U.S. delivered standout results in Q2. Year-over-year growth rates for both GMV and revenue accelerated in Q2 versus Q1. We saw growth across all major verticals and merchant segments. Second, our international regions, particularly Europe, are thriving. In most countries in Europe, our merchants GMV growth continues to outpace the overall e-commerce market by an average of 4 to 5x, if not greater, and even accelerated in Q2 from already strong trends. This success underscores the effectiveness of our strategic investments in product expansion and localization over the past few years. Merchant GMV accelerated across all sizes and GMV bands in Q2, highlighting broad-based momentum throughout our platform. Notably, merchants above $50 million in annual GMV and those under $2 million in annual GMV showed particular acceleration in the quarter. Lastly, our products are growing and expanding, creating more opportunities to support our merchants, drive growth and unlock new verticals. Growth is coming from every angle, offline, B2B, capital, tax and more. These areas are gaining real traction. And while still on the earlier side of their growth curves, the potential remains incredibly compelling. With that context around some key observations and trends this quarter, let's turn to our Q2 financial results. All growth rates mentioned are year-over-year unless specifically stated otherwise. GMV in Q2 was $88 billion, up 31% or 29% on a constant currency basis. This GMV outperformance was driven by strength in North America with particular strength among Plus merchants and continued strength in Europe with GMV up 49%, 42% on a constant currency basis. In both North America and Europe, we saw broad-based growth led by our existing merchants as well as growth from adding new merchants with a tilting towards more same-store sales growth this past quarter. Offline was up 29%, driven primarily by larger retailers joining the platform. And finally, while we had anticipated some benefit from FX in our outlook, the tailwind turned out to be stronger than expected as the quarter unfolded. As we continue to expand our platform's capabilities, add new products and build where commerce is heading, Shopify is becoming even more compelling to a wider range of businesses than ever before. This growth opportunity is reflected in the strength we're seeing across a diverse set of categories. In Q2, apparel and accessories, our largest and most established category, continued to perform well. At the same time, we're seeing strong momentum in health and beauty, home and garden and food and beverage. We're also experiencing rapid growth in emerging segments such as pet supplies, furniture and arts and entertainment. Revenue for the second quarter was up 31%, driven by the exceptional GMV growth across geographies. Our merchants are succeeding. These results exceeded expectations driven by the outperformance in North America and Europe. And importantly, we had factored into our guidance some potential impact from tariffs, which did not materialize. Looking at the 2 components of revenue. Merchant Solutions revenue increased 37%, with the strength in GMV driving the significant majority of the growth. To a lesser extent, we also saw increased penetration of Shopify Payments, which reached 64% for the quarter. Several factors powered the quarter's higher GPV penetration, including continued adoption of payments by more merchants around the world and the strong performance of those merchants, the expanded partnerships with PayPal and Klarna and the availability of payments in more countries. These items were partially offset by our ongoing strong performance in Europe, which accounted for a larger share of GMV, but has a lower gross payments volume penetration compared to North America. Over time, this should become less of an impact for payments penetration, as we continue launching payments in more countries. Subscription Solutions revenue grew 17%, primarily driven by a larger percentage of subscriptions coming from higher-priced plans and, to a lesser extent, higher variable platform fees. As we have mentioned previously, in 2025, we expect Subscription Solutions growth to be impacted by the headwinds from extended paid trials, which affect our year-over-year growth rates. Q2 MRR was up 9% year-over-year, led by growth in our Plus plans, which represented 35% of MRR for the quarter. The shift back to 3-month trials for standard plans had a larger impact on Q2 than Q1, as these changes were rolled out to North America and our largest markets in Europe at the end of Q1, meaning that throughout most of Q2, new merchants were still within their initial 3-month trial period. As a reminder, in Q2 of last year, MRR benefited from the move from a 3-month to a 1-month paid trial, which drove MRR higher and makes for a tougher comparison this year. As a result, MRR growth for standard merchants this quarter showed only a slight increase. As we examine the data that we have regarding the efficacy of these trials, we believe that they are working well. By giving merchants more time to explore Shopify, we increase the likelihood that they launch their businesses with a better understanding of the full capabilities of our platform and how we can help them succeed, reaching key GMV milestones earlier and enhancing their probabilities of long-term success. Gross profit grew 25%, coming in ahead of expectations driven by the outperformance in revenue. Gross profit for Subscription Solutions grew 15%, slightly less than the 17% revenue growth for Subscription Solutions. This slightly lower growth rate vis-a-vis the revenue growth rate was from higher hosting costs, needed to support higher volumes and geographic expansion; and secondly, the impact of the change back to 3-month paid trials. While Subscription Solutions gross margin declined year-over-year, it remained above our 5-year historical median of 80%, plus or minus a couple of hundred basis points in any given quarter. We do not anticipate this trend changing in the near term. Gross margin for Subscription Solutions for the quarter was 81.6%. Gross profit for Merchant Solutions grew 32%, with gross margin coming in at 37.9% compared to 39.1% in Q2 of 2024. The decrease was primarily driven by the same factors that we have seen in the past 2 quarters, including the impact from the expanded partnership with PayPal, where the year-over-year comparison differential will persist through Q3 and lower noncash revenues from certain partnerships, which carry a high gross margin. This brings our overall Q2 gross margin to 48.6% compared to 51.1% in the prior year. Operating expenses were $1 billion for the quarter or 38% of revenue, which is down from 39% in Q2 of last year on a GAAP basis or down from 42% when you exclude from the year-over-year comparison, the reversal of a $55 million legal accrual from Q2 of last year. The 400 basis points year-over-year improvement demonstrates our continued efforts to drive operational efficiencies, all while supporting our 31% top line revenue growth. Our disciplined approach to headcount continues to drive strong operating leverage. Our return-based strategy and marketing remains unchanged. We continue to execute with discipline using data, testing and the power of our internally built models to adjust our investments quickly and efficiently based on clear return metrics and payback periods. Transaction loans and losses, the smallest of the operating expense categories in our income statement was 3% of revenues. The year- over-year increase stems from higher volumes in our payments and capital businesses. Our capital business continues to grow, supported by recent product innovations that enhanced our suite of credit offerings and expanded our geographic reach, including launching capital in Germany and the Netherlands. We've introduced new tools that give merchants more choice in how they manage and select loan options, providing greater flexibility to meet their financing needs. Note that loss rates have remained consistent with prior quarters. This is about the successful, thoughtful expansion of capital. Operating income for the quarter was $291 million or 11% of revenue. This 11% compares to a 9% operating income margin last year and yields a 56% year-over-year growth rate when excluding the impact of last year's legal accrual of $55 million, which was a onetime lift to last year's Q2 profit. Stock-based compensation for Q2 was $120 million, and capital expenditures were $6 million for the quarter. Q2 free cash flow was $422 million or 16% of revenue. Our commitment to operating discipline gives us the ability to achieve our desired free cash flow margins even as we periodically face gross profit pressure, such as those discussed earlier regarding PayPal and the paid trials. Quarter after quarter, we continue to deliver balanced growth and profitability with investments that support long-term growth in key areas like our core platform, international expansion, enterprise and offline. This disciplined approach works. We have driven 11 consecutive quarters of positive free cash flow, 8 of which have been in the double digits. We're building for the long term, delivering results today, while making Shopify stronger and more durable for the years ahead. Now shifting to the broader macroeconomic environment and tariff implications before discussing our Q3 outlook. Through Q2 and into early August, our merchant base has remained resilient. Merchants are adapting to changes in the economic landscape and continue to perform well, supported by the flexibility and capabilities of our platform. This resilience highlights the strength of our commerce solutions in helping merchants navigate challenges and pursue new opportunities. As our merchants grow and evolve, our platform continues to support their success and scalability in a dynamic market, just as it always has. Last quarter, I shared some observations about our merchants and our business in the context of the trade environment. Fast forward to today, and those same observations hold. We haven't seen any drops in U.S. demand, whether inbound, outbound or local. In fact, the U.S. accelerated in Q2, as I mentioned previously. Cross-border GMV remained consistent at 15% of our total GMV in Q2. One change that we have seen is that many of our merchants have raised prices. We are tracking that in relation to overall inflation levels in the U.S. The U.S. government's recent announcements regarding the de minimis exemption for other countries beyond China is still in the very early stages. Importantly, only approximately 4% of our GMV globally is currently shipped under de minimis exemptions. And we've not seen any significant changes in our GMV levels relating to merchants that shipped products under the de minimis exemptions for China since those rules were changed back in May. We'll continue monitoring these trends closely, staying focused on supporting our merchants in an evolving environment. Turning to our outlook for the third quarter. Merchant GMV remains strong and continues to reinforce our confidence in outperforming the broader market. This momentum has carried into Q3 with core trends across our merchant base remaining stable. We expect Q3 revenue growth in the mid- to high 20s year-over-year, driven by the same factors that supported our strong results in the first half, led by continued growth in Merchant Solutions. While we anticipate some FX tailwinds, they are expected to be similar to what we experienced in Q2. We expect gross profit dollars to grow in the low 20s, trailing revenue growth due to the continued strength in payments, the accounting impact from PayPal and the changes to paid trial links. We anticipate that our Q3 operating expenses will be 38% to 39% of revenue. On a dollar basis, operating expenses are increasing year-over-year, primarily due to 3 things: higher planned marketing spend, higher compensation as a result of both mix shift to higher-paying roles like R&D and our biannual merit increases and higher losses from the expected volume growth of payments and capital. Marketing is the largest driver year-over-year. It's important to note that our marketing investments in Q3 last year were lower than intended, as we chose to focus on testing and refining new approaches. The increase this year is largely going to be in performance marketing. As we have continued to test and refine our models, we are discovering new audiences and are unlocking higher value in the merchants we bring on. Moving to stock-based compensation. Q3 SBC is expected to be $130 million. Finally, on free cash flow. For Q3, we expect our free cash flow margin to be in the mid- to high teens. Let me repeat what I said last quarter. We continue to focus on driving growth, not optimizing for near-term margin. We believe that the free cash flow margin profile that we've achieved over the past several quarters strikes the right balance between profitability and investments in building the best products for our merchants today and into the future. There are simply too many compelling growth opportunities ahead. One other item regarding our cash flow and cash management. Our convertible note matures November 1 before our next earnings call, so a couple of things to mention. We expect to settle the $920 million principal in cash. To the extent that there is any excess value above par, we also expect that to be settled in cash. Our disciplined execution has delivered 11 consecutive quarters of positive free cash flow and the financial strength to enable us to make this choice. This decision is a clear demonstration of our belief in Shopify's long-term growth and resilience and Shopify being mindful of dilution to shareholders. Quarter-over-quarter, we're proving that our approach works, consistently executing, delivering for our merchants and maintaining double-digit free cash flow margins even as we invest for the long term. This is what sets Shopify apart, durable growth, disciplined execution and a track record of results. With that, I will turn the call back over to Carrie.
Carrie Gillard: Thanks, Jeff. We will now take your questions before turning the call back to Harley for some final words. [Operator Instructions] Our first question comes from Brian Peterson at Raymond James.
Brian Christopher Peterson: Sorry, I tripped up by that mute button, but congrats on the really strong quarter. Jeff, I appreciate all the comments on the macro. I know you mentioned that you saw the U.S. accelerate. How would you characterize the demand? And did you see any potential pull forward for consumers that may have wanted to take advantage of pricing before tariff increases? Would love to get any comments there.
Jeff J. Hoffmeister: Yes. No, Brian, very good question. We have not seen any real pull forward of demand. I think you can see some of that when you look at the results that we delivered in Q2, you compare that to the guidance and see that consistency of performance. And obviously, any guidance that we give is going to be reflective of the information that we have going into the call. And so as we look at what we've seen in July and the consistency of strength, the consistency of merchant success in July is kind of what we've seen in Q2. So from a tariff perspective, I also alluded to it briefly on the call that we haven't seen any meaningful changes in the various elements in terms of cross-border activity, in terms of what we're seeing in buyer behavior. So the business remains in very good shape. I don't have anything where I have anything in our internal data, which says to me, hey, there's been a pull forward. So the business is simply continuing to perform very, very well. I mentioned, obviously, the strength in Europe, the strength in North America, the strength across all the different GMV bands, the strength across the products. I think that's just our business performing at a very, very high level.
Carrie Gillard: Our next question comes from Arjun Bhatia at William Blair.
Arjun Rohit Bhatia: Perfect. I will add my congrats here on a great quarter. This might be a little bit difficult to answer, but obviously, the international growth is very strong. You have a very broad platform. But when we think about what is localized and what is available for merchants in international markets, how should we think about where we are in that journey? And is there more opportunity still to unlock internationally despite the success that we've been seeing thus far?
Harley Finkelstein: Arjun, it's Harley. I'll take that question. I mean, to be clear, we've been tackling some of these product updates for international for quite some time now. Obviously, there's some -- Merchant Solutions continue to expand. I mentioned that this year alone, we expanded Shopify Payments to 60 new countries. Multicurrency is now in 20 countries. Capital has now expanded to Germany, Netherlands. So we're making really good progress here. And obviously, the international results speak for themselves. International GMV was up 42% year-over-year. Obviously, Europe leading the way there. But there still are other areas for us to expand, specifically on sort of the product rollout side of things. I think the results you are seeing from us internationally is a combination of the product getting much better, but also the go-to-market engine becoming much stronger, much more sophisticated, whether it's through partnerships with SIs or it's with our own team understanding what product market fit looks like in those countries. So I think the wins that you are seeing are a result of the groundwork that we've laid in international expansion, both in product and from marketing over the past few years, but we still have quite a bit to go there, and we think we can continue to grow internationally. Obviously, we're still going to -- we're dominant in the English-speaking world and North America, obviously, is a big -- is a huge market for us, U.S. specifically. But international, we still think is a strong opportunity for us going forward.
Jeff J. Hoffmeister: Yes. Arjun, maybe the only point I'd add, I think one of the things that Harley and I don't talk enough about, is our success in Asia Pacific. I mean Europe has been going so strongly in terms of the results we're seeing. It continues to perform very well. And as we alluded to earlier, it also accelerated versus what we saw in Q1. So it's really -- international for us broadly is just doing really well.
Carrie Gillard: Our next question comes from Gabriela Borges at Goldman Sachs.
Gabriela Borges: Congratulations on the quarter. Harley and Jeff, so much of the prepared remarks talked about the durability of growth and the compounding of your product cycles. As numbers get bigger, we as analysts, we tend to model slowing growth as companies scale. And that's really not happening when I look at your organic growth adjusting for some of the onetime items over the past couple of years. So my question for both of you is how do you think about the long-term growth algorithm? Do you think you can be in this north of 25%, closer to 30% range for the next couple of years? Give us some color on how you forecast internally.
Harley Finkelstein: Yes. Maybe I'll start, and then I'll hand it over to Jeff to talk a little bit about some of the forecasting. I think what you're seeing, Gabriela, is the result of past investments over the years. Presumably, you've picked up from the tone of both Jeff and my comments that we believe we are consistently performing quarter after quarter, both in terms of top line momentum, but also in terms of managing our expenses and how we deliver profitability. But in terms of our merchant acquisition, that's accelerating, especially internationally, as we mentioned. But there's also these new areas, these sort of on-ramps into Shopify, whether it's large enterprise or it's, B2B Point of Sale. The growth runway, we think, remains long. There's a number of these really durable avenues, including TAM expansion. I mentioned some new verticals that historically Shopify never even considered going into like the drilling and -- mining/drilling companies that are very large and dominant now coming to Shopify. I think when you add that to adding more value to our subscriptions with things like audiences and Plus and B2B, payment innovation continues to lead. And then in terms of some of the more -- some of the products that are still more early in their adoption, things like tax and managed markets. We think we are really well positioned to be at the center of commerce. And certainly, these multiple levers to drive our growth, we think, are going to continue to provide it for growth in the future. So we think this is the best version of Shopify. We think we're operating on all cylinders here, and we still think there's a lot of room for us to keep growing.
Jeff J. Hoffmeister: Yes. I mean, obviously, Gabriela, I'm not going to guide you to some specific growth numbers over time, but to pile on to some of Harley's comments, it's really the durability of growth from our vantage point is a function of all the different -- Harley alluded to what we've done over the past couple of years in terms of introducing all new products. You think over the last 2 to 3 years in terms of what we've done with tax, what we've done with B2B, how we've really reinvigorated point of sale, the international expansion, all of that is something which is really helping us deliver this growth. And this is just in terms of the tailwinds. We've talked a lot in the past about what we're seeing on entrepreneurship more broadly. I think the velocity of change in these markets is actually driving more and more merchants to our platform, given the capabilities of our platform, and we're the ones that are giving merchants the ability to adapt to this environment. I think the overall comments in terms of e-commerce growth rates and the penetration of e-commerce in various economies, that is obviously continuing to pick up, and we think some of the things in agentic commerce will help that, the necessity for omnichannel, kind of what we're seeing on a global basis. There's so many things that merchants need to do. We're expanding the products, and we're expanding their capabilities to succeed in this environment. So we feel good about our durability of growth over a multiyear period.
Carrie Gillard: Our next question will come from Terry Tillman at Truist Securities.
Terrell Frederick Tillman: Hopefully, you all can hear me okay. Universal Cart, the Checkout Kit, that sounds really interesting, timely because of large language models, and that is an on-ramp for shopping. Will this be generally available in time for the holiday season? And how do you think about that as we go into the back half of the year?
Harley Finkelstein: Terry, thanks for the question. Look, we've been building infrastructure to make it easy to bring native shopping into every AI conversation for a while now. Obviously, yesterday, hopefully, most of you saw Tobi's post about how we think about the future of agentic commerce and just, frankly, conversational shopping. And so we introduced 3 new products catalog, which was launched in Q2, that's already out there. That really helps agents to search, but also to surface exactly what customers want in seconds. And so it uses these very specialized large language models to categorize to enrich, but also to standardize product data at these massive volumes. The other thing is Universal Cart, which is actually part of Checkout Kit, but that really allows you to hold items from multiple stores all in one spot so that buyers can easily track all the items they want to purchase directly in the conversation. And then, of course, Checkout Kit, which you mentioned, that's out there. That was launched last year. We're really excited that Microsoft's Copilot is already using it, but that really lets partners embed the merchant's checkout right in terms of their agent, and it actually works with Shop Pay. But what we're trying to do here is kind of 3 things. From a partnership perspective, what this means for partners is we're trying to ensure that consumers get these incredibly personalized [ convo-led ] shopping experiences and make it really easy for these partners to get that easy integration. From the merchant perspective, of course, it means that their products and their brand is going to show up across every AI platform. And so we are really excited by this. Part of what we think is important if you're a merchant on Shopify is that -- by virtue of being on Shopify, merchants and -- merchants are everywhere where consumers are spending time, wherever commerce is happening. And I think the unfair advantage we have in working with all of these AI companies and certainly around agentic commerce is that consumers' favorite brands are all on Shopify. And when you couple that with an incredible technology stack and incredible product that we've been building, I think we become the partner that everyone wants to work with. So it's a really exciting area for us and most of the products that we're talking about is they're already out there. And like I mentioned, companies like Microsoft are already working with some of them, including Checkout Kit.
Carrie Gillard: Our next question will come from Reggie Smith at JPMorgan.
Reginald Lawrence Smith: Great quarter. I guess a quick question for me. You guys have obviously done a great job of product innovation and consistently raising the bar. And it seems like, I guess, to this point, you haven't really priced explicitly or specifically for different product enhancements. How are you guys thinking about that longer term? Is there an opportunity to almost a la carte price for different services you've added over the last 18 months or so? And when could that shift happen, if at all?
Harley Finkelstein: Yes. Reggie, a couple of things I'll say on that. First of all, we still believe that the business model that we've built, it's predicated on our merchants doing really well. The better that our merchants do, the better Shopify does. I mean that's the GMV-based revenue model and business model. And so we really like where that's at. In terms of sort of pricing-specific products, I mean, you saw the introduction of commerce components by Shopify, which effectively allows merchants to select in a very modular fashion different products. So they may just take Checkout or they may just take Shop Pay. Part of that is obviously making sure that we have individual products in market, which have individual pricing. But part of that is just to create more on-ramps into Shopify. So a very large -- I mean, I mentioned 3 very large retailers, Burton, Starbucks and Canada Goose coming. Some of these brands want to come to us and use all of Shopify, but some of them may just want to start with us with something like Checkout or Shop Pay, for example. And by creating more of these on-ramps to Shopify, it means more people can come into us, and we believe over time, will take more of our products and services. Beyond that, I mean, we're not necessarily pricing individual Merchant Solutions. All of those obviously are priced on their own, but it's part of a much larger business model, which is to get as many people to use Shopify as possible, to give them as many of our services and products as possible. And then as they succeed, we succeed with them. And we think that particular pricing model works really well for us.
Carrie Gillard: Our next question will come from Ken Wong at Oppenheimer.
Hoi-Fung Wong: Fantastic. Harley, I wanted to touch on your partnership with OpenAI. Very exciting to see you facilitate that commerce experience. Do you see this as a new GMV opportunity or just a shift from existing buying channels over to agentic shopping?
Harley Finkelstein: Yes. Well, look, we are, as you can probably tell from my tone, incredibly excited about the possibilities of AI for both discovery and for shopping. I'm not going to discuss or disclose our product road map. Obviously, we're actively working on new opportunities and partnerships because we think that helping our merchants thrive wherever customers are and is very important. We'll share those updates when we're ready, but we are built to partner. And I think it's winning alongside others is kind of part of Shopify's core DNA. And that extends to our AI approach. That's why I think we're one of the best partnership companies in the technology space and something we're very, very proud of. So we have great relationships with all the AI companies, and we'll continue to work with them. In terms of where it's coming from, it's a really good question. In the same way, I mentioned this in my prepared remarks, but when we were -- we began to anticipate that social commerce was going to be something that some consumers may start using, we immediately integrated with companies like Instagram and Snap and TikTok. And obviously, when we saw that more embedded video commerce may happen, we integrated with YouTube. And when culture and music became something that where commerce is happening, same thing with Spotify. So this is another surface area where there is a very serious potential where commerce could be taking place, whether it takes some of the market share away from search-based commerce or not, we want to be prepared for that. We want to make sure that merchants on Shopify are simply better prepared than merchants who are not, which is why we have all these incredible integrations. One thing that we do think though is really interesting about agentic commerce, in particular, is it's not necessarily based on who is the largest company, it's based on what consumers are looking for. And the -- back to my point earlier, the unfair advantage we have is that consumers' favorite brands, the products, the companies they love most. For the vast majority of them, they're already on Shopify. And I think that puts us in a really, really key position in terms of these partnerships with all these companies and building these incredible products only further substantiates that.
Carrie Gillard: Our next question comes from Richard Tse at National Bank.
Richard Tse: Yes. It was interesting to hear you talk about mining and drilling services. I'm guessing that's on the B2B side. But can you maybe help us understand the use case there and how it may be applicable to other -- sort of potential other customers on that side?
Harley Finkelstein: Yes. Part of the reason why I mentioned it, it's sort of -- I'd like to mention the large ones. I mean Michael Kors came to Shopify and Miele came to Shopify and Signet Jewelers came. And so I like talking about obviously, the brands that merchants -- that consumers know and that all of you know because it shows that the enterprise is really moving to Shopify and migrating to us in this incredible clip right now. But the reason I want to bring up one that you may have not heard of is because it's just -- it's a new vertical. I mean some of these industries that historically, we did not play in automotive, for example or education or food and beverage or industrial. We are now seeing merchants come to Shopify from those industries. And we just think it, number one, expands our TAM. It expands the types of merchants that can come to us. But we also believe that these are opportunities for those merchants to modernize their commerce technology, whether it is direct-to-consumer or in the case of mining/drilling services on the B2B side. But it's just one new on-ramp into Shopify. And we think it's a really exciting area because, frankly, when you meet a lot of these industrial brands and these very large companies selling -- I remember talking to Carrier a couple of years ago who sells heating and cooling equipment on Shopify today. It wasn't as if they were migrating from something good to something amazing. They were migrating from effectively a technology stack that was not existent, that was still almost archaic in some ways to this incredibly innovative, user-friendly interface and commerce stack that allows them to be scalable and allows them to keep innovating. So we just think it's a great new opportunity for us. And Boart Longyear is not a company that many of you know, but it's a new industry and a new vertical that we can go after, and we think we can win there.
Jeff J. Hoffmeister: Yes, Richard, the only 2 things I would add, obviously, and Harley alluded to the diversification and getting into new industries, that obviously helps add stability to how we think about our merchant base, how we think about our buyers. So that's one point, which we really like about the success in B2B. And obviously, it helps strengthen the offering that we go to the largest enterprises, the largest global brands with in terms of all the capabilities that we have. So we're really excited about it.
Carrie Gillard: Our next question will come from Tyler Radke at Citi Investment.
Tyler Maverick Radke: A question for Jeff. So performance marketing spend, you talked about that ramping up in the third quarter. I was wondering if you could just double-click on kind of what specifically is driving that? Are you seeing kind of improving payback trends, new logo acquisition opportunity? Or is this more upmarket? And then if you could also just provide an update, obviously, the initial ramp-up in performance marketing spend was a little over a year ago, just sort of how that's played out. Obviously, really strong GMV results, but just anything you could share on payback periods and ROI.
Jeff J. Hoffmeister: Yes. Well, Tyler, maybe in reverse order, as you just alluded to, we're really seeing the strength in the GMV. We're seeing the strength in the merchant base and the revenue growth. So we do believe it's working well. We have -- as you correctly pointed out, roughly a year ago, we talked about some of the changes, the updates we made in performance marketing and the continued enhancements that we've made in our own internal models, how we look at the data, how we find a signal quickly from all this. And we have continued to improve those models, and they're just getting better and better and better, which is one of the things that gives us the belief to continue to lead in the performance marketing. I do, though, want to make sure, partly because -- and I alluded to this in my prepared remarks, when you compare the numbers this year versus last year in terms of growth, one of the things that we were doing this time last year was some of this testing, which you alluded to, which really helped us improve even more our models. And so there's a little bit of year-over-year comparability, which goes into this. And if you look at the operating expenses more broadly, you kind of look at quarter-to-quarter versus year-over-year, it's up some. I don't want to make it sound like we have some massive ramp in marketing. We are continuing to do more with marketing. We have a lot of great markets. We want to support their specific products they get success. We spend behind those from a marketing perspective that fuels more success. We really think the marketing engine is working very well. I don't have on -- one of your questions in terms of their specific size or segment, we talked about this a little bit last quarter, too. I don't have some -- we don't have some segment where we say, hey, we really need to "support" this segment because it's behind. We're pretty broad-based in performance marketing in terms of how we think about, again, geographies, products, things we want to be doing. So we're supporting the growth of these, but I don't have some segment where I feel like we need to do some catch-up or we have some strategic agenda that we need to support. So we think our models are working very well. And so we're continuing to lean into those.
Carrie Gillard: Our next question comes from Brad Sills at Bank of America.
Bradley Hartwell Sills: Wonderful. I wanted to ask a question about the success you're seeing upmarket in the enterprise. Really impressive to see some of the logos that you signed this quarter. Has there been any change in go-to-market, specifically in the channel? I would love to get some color as to what's driving that success from a go-to-market standpoint? Any changes there? And with the focus on system integrators, has that been a benefit to that business as well?
Harley Finkelstein: Yes. I mean I don't think there's necessarily one thing that's leading to it. The product is incredible. The value-to-cost ratio is incredibly on the side of value. And more importantly, as we add new functionality, for example -- some of the stuff we discussed around agentic commerce, for example, these are the conversations that all of these very large retailers are having in their own boardrooms, their own management teams about where is commerce going. And the fact that they know that if they come to Shopify, they will be future-proofed, I think, is incredible. So certainly, some of the stuff we're doing with SIs helps. The product getting much better obviously helps. But the reason they're coming is they see the value of what we're doing. I mean one of the cool parts of this commerce component play for us is that some of these -- as I said earlier, some of these merchants, some of these very large brands are coming to us simply because they see and believe in the value of Shop Pay, and they see the conversion lift, and they want to have this incredible accelerated Checkout experience. And so that opens a conversation with Shopify to figure out whether or not we can do more with them. And once they come in the door for a commerce component for Checkout, we can begin to show them what else we can do for them. But I think part of it is we have the largest ecosystem in commerce. We have this incredible innovation. The network keeps getting stronger. And the more -- again, part of the reason why I love sharing these names that are joining every single quarter is because these are brands that other brands look up to and they want to know if Miele, the high-end kitchen appliance company is using Shopify, well, maybe we should be thinking about that as well. And so I think this exceptional value they're getting in this powerful platform, this modern technology stack and this innovation that they see us coming in the amount of velocity -- the velocity we're shipping product with every single quarter. I mean we ship more products at each Shopify addition than some of our competition shipping over the course of 5 years, and we do 2 of those every single year. So I think generally, this is all leading to some of the most important, some of the largest brands on the planet, not only considering Shopify, but coming to Shopify as well. And it's an area of the business I'm incredibly excited about it.
Carrie Gillard: And our last question will come from Deepak Mathivanan at Cantor.
Deepak Mathivanan: Great. Harley, I just wanted to ask you about the AI assistant. You have a great purview into the traffic patterns of your merchants. Can you give more color on how traffic is shifting towards AI assistant? And what are you thinking are kind of the gating factors right now for commercial use cases to grow more on AI assistance and perhaps become a bigger channel for all your merchants?
Harley Finkelstein: Thanks for the question. Look, we are getting prepared that if agentic commerce and more of the -- more traffic is flowing towards AI to ensure that Shopify and Shopify's merchants are front and center. The reason that you're hearing about all these new innovative things we're doing, whether it's catalog or Universal Cart or Checkout Kit is because we want to make sure that we become the best partner for these AI companies to work with and these agents to work with. So we are preparing ourselves for it in terms of is it taking market share from a different channel yet? Too early to tell. But like we did in -- historically with new areas of commerce and e-commerce, we are prepared that if something does shift, Shopify merchants are better prepared and Shopify is at the core, at the center of all of that. So we'll continue to see. We'll keep updating you on that. But certainly, as you're seeing the pace of innovation and products and partnerships that we're rolling out around agentic commerce is second to none. Maybe before we just close up here, I'll just finish with a couple of things. I said this earlier, but hopefully, you've all now picked up the tone of this call. We believe that Shopify is steady, strong and certainly built on discipline. We show up for our merchants of every size every single day, whether it's BFCM or it's a random Wednesday in August. But we think that we can really help merchants of every size, whether it's the biggest brands or the best entrepreneurs. We're aiming very high. We're investing early. We are never going to settle. But we also are seeing that there's always new frontier and you should expect and -- you should expect us to show up there and be the first ones to reach it. We see our channels are growing. Our roster of incredible merchants keeps growing. Our global footprint keeps growing. And we still believe there's so much left to do. So I think you're seeing the best version of Shopify. We are really excited about where we're going. We're excited about how we're operating, steady, strong and built on discipline. I just want to say thanks for joining the call. And now the team and I and Jeff, we're going to go back to shipping. So thank you so much.
Carrie Gillard: With that, this concludes our second quarter 2025 conference call. Thank you for joining us. Goodbye.